Claus Ingar Jensen: Hello everyone. Welcome to the conference call for Danske Bank's Financial Results for the First Quarter of 2021. Thank you all for taking the time to listen in on this call today. My name is Claus Ingar Jensen and I am Head of Danske Bank's IR. With me today, I have our new CEO, Carsten Egeriis and our CFO Stephan Engels. Slide 1, please. In today's call, we will present Danske Bank's financial result for the first quarter of 2021. We aim to keep this presentation to around 20 minutes. After the presentation we will open up for a Q&A session as usual and afterwards feel free to contact the IR Department if you have any more questions. I will now hand over to Carsten.
Carsten Egeriis: Thanks Claus and hello everyone and thank you all for joining our presentation of the results for the first quarter. My name is Carsten Egeriis and as you know I've been the new Chief Executive Officer of Danske Bank since the beginning of last week when I took over from Chris Vogelzang. Even though this is a very new assignment for me and today is only my ninth day in the job, I'm not unfamiliar with meeting investors and analysts and some of you may recall my participation in some of these calls in my previous role as Chief Risk Officer. So, good to meet you all again in today's call. I am of course not new to the bank and I'm not new to the plans that set our direction for the period towards 2023. No doubt we have already set sail on a journey that will enable us to become a better and a more efficient bank to the benefit of all our stakeholders. So the captain is new, but the course is clear and the team around me and my fellow members of the executive leadership team are ready to continue to execute on the agenda that we have set forth. And then I would like to briefly comment on our financial results. With a net profit of DKK3.1 billion the first quarter of 2021 was a good start to the year despite our societies continuing to be impacted by the corona pandemic. Compared to the same period last year, lockdowns have been more widespread; however, different from country to country. We are now a full year into the pandemic and have better insight into the dynamics that characterize the economies. Some sectors are performing quite well, benefiting from a change in consumer behavior, including a strong housing market, whereas sectors directly affected by travel and gathering restrictions continue to be challenged. However, government support packages still provide support. Our financial performance in the period benefitted amongst other things from good customer activity in the capital markets where we continue to utilize our skill and expertise to fully embrace and seize the business opportunities. Our performance based on an increase of 17%in total income has not only recovered from a weak first quarter last year, it has also shown satisfactory traction relative to the preceding quarter. Lending growth was up 3% in the first quarter from the level in the same period last year. This increase was driven by almost all personal and business customer segments, whereas our customers at large, corporates and institutions, have been drawing less on credit facilities as the economic outlook has improved. The declining credit demand and continued margin pressure led to a negative impact on NII. This effect was however offset by the re-pricing initiatives that took effect in Q1. Furthermore, the additional adjustments we have just announced for deposits earlier this week are expected to support margins going forward. The improved economic outlook is also evidenced by relatively low impairment charges for the quarter based on continually strong credit quality. Loan impairment charges of DKK0.5 billion were recognized for the first quarter, significantly less than for the same period last year when model driven charges and charges against exposures to the oil and gas industry dominated the picture. We also continue to see steady progress with our efforts to reduce our operating expenses which contribute to a lower cost to income ratio than in Q1 last year and the preceding quarter. Excluding one-offs, expenses came down 6% from Q1 2020 driven by lower costs for the Estonia case in cost management initiatives. So, all-in-all, a satisfactory start to the year, including the launch of the new organization which plays a key role for our increased focus on the commercial agenda. We have progressed on key elements of our plan and we will continue to make progress in order to meet our ambitions for all stakeholders in 2023. And now I'll hand over to Stephan for a more in-depth review of our first quarter financials.
Stephan Engels: Thank you, Carsten. I will now go through our Group income statement before I present the performance of our two new major business units in more detail. Please note that this is our first financial report following the redesign of our organizational setup announced last year. Danica Pension is now reported separately as net income from insurance business. The financial numbers are restated accordingly and available in the fact book. As Carsten just mentioned, it was a good start to the year. Overall the result was founded on good progress for all key reporting lines, including total income expenses and loan impairment charges. Total income benefited from a rebound in net fee and trading income driven by stronger customer activity and came in 17% higher than the year before. Relative to the preceding quarter total income was at the same level despite Q4 being a seasonally stronger quarter for fee income. NII was on par with the level in Q4 as the positive effects of deposit re-pricing and growth outweighed continued negative lending effects. Against this background and with the aim of improving profitability for our deposit business, we have announced further adjustments to retail as well as business deposits in Denmark. With effect July 1, the threshold for the charging of negative interest rates on retail deposits will be lowered to a DKK 100,000 and the interest rate for business deposits in general will change from minus 60% to between minus 0.75% to minus 1%. We expect the combined effect of these initiatives to amount to approximately DKK 0.5 billion on a full year basis all else being equal. Insurance activities also contributed to the improvement in total income due mainly to a better result in the life insurance business. Operating expenses came in lower as our initiatives to reduce costs continued to yield results and we saw the expected decline in cost for transformation and remediation. We are happy to see that our cost to income ratio continued the downward trend through an improvement for both income and cost. As a result, profit before loan impairment charges for the first quarter was up 59% from the same period last year, which to a large extent was disrupted by difficult conditions in the financial markets in particular. Against the preceding quarter, the increase was 57% due primarily to elevated expenses and impairment charges on intangibles in Q4. Impairment charges amounted to DKK 0.5 billion the first quarter now at a more normalized level. However, we will have to await the development in coming quarters to establish evidence for a more sustainable trend. By far, most of the charges were against pandemic sensitive exposures at PB&C. Lower charges for the oil related exposure also had a positive impact in the first quarter. Slide 4, please. Now let us take a closer look at the new business unit starting with personal and business customers. P&BC is basically a merger of our previous Banking Denmark and Banking Nordic unit and serves personal customers and SMEs across all of the Nordic markets. As part of the reorganization, large corporate customers with a total lending volume of approximately 60 billion were transferred to LC&I. Despite the significant impact on societies of the pandemic, business activity overall held up well. The way we interact with our customers has changed to a much more virtual format and that increased customer demand for digital banking solution. This fits well with a better -- with new better ways of working organization which we launched in January, where accelerated efficiency and digitalization our key business enable us. We continue to see a good inflow of new customers driving lending growth in personal customers in Nordic and in the Norwegian franchise in particular. In Personal Customers Denmark, the high activity in the Danish housing market led to a 21% increase in gross new lending at Realkredit Denmark from the level in the preceding quarter. However, net new lending was almost unchanged as strong collateral values and elevated deposit positions led to increased repayment of loans. Within our Business Customer segment, lending was stable, whereas deposits increased significantly as a result of customers' liquidity management and government support packages. Also in the first quarter, ESG related activities were high on the agenda. We launched several green products, including an expansion of the product offering within sustainable financing. In Denmark, Norway, and Sweden, we have significantly lowered the threshold for green loans to business customers. Slide 5, please. Now let us have a look at the financial performance at P&BC where profit before tax was up significantly driven by lower impairment charges. Relative to the first quarter of 2020, total income was slightly down although we saw a solid performance for fee income driven by good investment activity and the positive effect as a result of a lower deposit threshold, NII was slightly down due to a combination of continued pressure on margins and lower volumes. Total income was up 6% from the level of the preceding quarter. The increase was driven by higher fee income due to a negative one-off effect in Q4. NII was almost flat as the effect from the lower deposit threshold mitigated the continued pressure on margins. Operating expenses was up 3% compared to the last year as cost for compliance remediation remained high. A decrease in loan impairment charges was, as I mentioned the most significant factor for the results at P&BC. The charges for the first quarter related mainly to segments impacted by the pandemic, whereas the level of last year to a large extent was impacted by model driven charges due to worsened economic outlook. Charges were higher than in the preceding quarter; however, as Q4 saw net reversals driven by a positive change in the macro economic outlook. Slide 6, please. Now let us turn to LC&I, which in our new organizational setup also includes our Asset Management business besides covering large corporates and institutional customers across all of the Nordic markets. LC&I had a strong start to the year with good performances in all segments of the business. In general, benign market conditions in the first quarter, was supportive for the level of customer activity. Our Capital Markets business sustained the positive trend seen in the latter part of 2020 and we executed a high number of transactions across loan, debt, and equity capital markets, including the largest ever ECM capital raising transaction in the Nordic countries as a joint coordinator and bookrunner for Tryg's rights issue. The high activity level also applied to the area of sustainable science which continues to be in high demand. In Q1, we supported our customers in a record high number of transactions and affirmed our position as the leading Nordic Bank, not only within sustainable financing, but also for Nordic ECM deals in general. The Asset Management business performed well with assets under management up 22% from Q1 last year, due primarily to positive financial markets. The turnaround for net sales that we saw in late Q4 gained momentum and added to the increase in assets under management. Customer activity was also good in markets where support of financial market conditions formed a good background for the trading income and in general banking, the solid performance from the preceding quarter continued into the first quarter of this year. Next slide, please. Now let us have a look at the financial performance at LC&I. The strong performance in Q1 had a positive impact on total income, which came in 68% above the low level of Q12020. Relative to Q4, total income was down 7%; however, adjusted for the yearly booking of performance fees in Q4, total income was up 9%. Both fee income and trading income benefited from solid customer activity. NII came in higher as transaction related net interest income and income from still undrawn facilities mitigated the effect of lower lending volumes. However, lower value of surplus deposits had a negative impact on NII. Operating expenses were up slightly year-on-year as our strong focus -- as our strong cost focus was able to mitigate most of the increases resulting from higher costs for AML and compliance. Profit before tax came in at DKK 2 billion, a strong turnaround from last year when we saw significant loan impairment charges. The improvement in loan impairment charges mainly reflects lower charges against the oil related exposure, but also strong credit quality in general. Next slide, please. Now let us have a look at Danica Pension and our activities in Northern Ireland. Net income from insurance business amounted to DKK 0.5 billion in Q1 against an almost flat result for the same period last year, which was significantly impacted by the turbulence in the financial markets caused by the pandemic. The result in Q1 of this year was driven by our Life Insurance business. Danica Pension saw a positive development in premiums and assets under management, which were up 6% and 16% respectively. In our Northern Ireland franchise, the effects of lockdown measures across the UK continued to affect the business in Q1.We are pleased to see that restrictions are currently being eased as a result of progress with the vaccination programs, which hopefully bodes well for coming quarters. Overall income came in lower in Q1, partly because of margin pressure from lower rates in the UK following Brexit. However, progress on cost reductions and significantly lower impairment charges led to an improvement in profit before tax, which came in at DKK 0.1 billion. Next slide, please. Now let us take a closer look at the underlying development in Net Interest Income for the Group. NII came in slightly lower than in the same period last year. The positive effects we saw in the quarter came from higher deposits, income from stronger demand for credit facilities, and tailwind from FX. However, negative effects from lending and deposit margins more than offset the positive effects. Approximately half of the impact of deposit margins came from lower value of surplus deposits at LC&I whereas a sharp decline in UK interest rates impacted margin in Northern Ireland and accounted for the other half. While we look at Q1 against Q4, we saw the expected positive effects of the implementation of a lower deposit threshold and higher volumes. These effects were able to mitigate a continued overall pressure on margins in the quarter. Next slide, please. Let's have a look at Fee Income. As we have discussed in some of our previous slides, fee income which was up 5% from the same period last year made a valuable contribution to the good results for the quarter. The increase can be explained mainly by stronger income from capital markets related activities, but higher customer activity and the development in other assets under management also added positively to investment fees. Assessment fees were down against Q4 2020due to the booking of performance fees in that quarter. Both year-over-year and relative to the preceding quarter, activity related fees continued to be impacted by the effects of the lockdown of societies. We saw the same trend for lending related income; however, Q1 of last year benefited from remortgaging activity. Relative to the preceding quarter we saw an increase due to higher activity in the housing market. Slide 11, please. Trading income saw a strong rebound from an unusually low level last year, which was heavily impacted by the very difficult financial markets caused by the outbreak of the pandemic. At LC&I, which accounted for 80% of the Group's trading income in Q1, benign market conditions, and a good season for customer activity drove income up led by markets and equities. Trading income in Q1 at Group Functions benefited from a gain of DKK 0.2 billion related to the sale of shares in Visa. Next slide, please. Now let's turn to operating expenses which in line with our expectations came in lower. The main contributors were a decrease in the cost for transformation for which we booked significant amounts in 2020 and lower costs for AML including particularly the Estonia case. A reduction of non-personnel costs also contributed to the decline in expenses because of our continued strict cost focus. The effects of the pandemic continued to have an impact in the form of lower traveling activity among other things. Expenses were down 6% from the level in Q1 2020 adjusted for items of one-off nature in Q1 and down 2% on a reported basis. The one-off effects in the first quarter related to a provision for the upcoming changes in the VAT set up following a ruling by the European Court of Justice and costs for a Group wide initiative to enable employees to work better from home. Based on the development we have seen in the first quarter, we reconfirm our outlook for the full year of operating expenses of not more than DKK 24.5 billion. Next slide, please. Overall credit quality remained strong as we continued to see a lower level of actual credit deterioration and impairment levels have started to normalize. As I mentioned earlier, we will have to await the developments in coming quarters to establish evidence for a more sustainable trend. Impairment charges for the first quarter came in at DKK 0.5 billion, equivalent to a loan loss ratio of 10 basis points. The charges in Q1 was significantly lower than last year when the outbreak of the pandemic led to an elevated level of impairments driven by model changes to the macroeconomic outlook and credit quality deterioration in our oil related exposure. From business unit perspective, P&BC accounted for, by far for the most of the impairments recognized in Q1. The charges at P&BC reflect a credit deterioration in relation to individual customer exposures relating to industries affected by the pandemic. These are mostly within the hotels, restaurants, and leisure industry to which we have a limited exposure. At LC&I impairment charges went down owing to a decline in charges against the oil and gas industry but also due to credit quality remaining strong. Next slide, please. Our capital position remained strong with a reported core Tier1capital ratio of 18.1% at the end of the first quarter. Total capital ratio was up 0.4 percentage points because of the issue of a Tier 2 capital in February. Core Tier 1capital ratio saw a 0.2 percentage point decrease driven mainly by higher REA, net of the net profit for the quarter. The fully loaded Core Tier 1capital ratio was at 17.9%. The total REA came in DKK 14 billion higher than at the end of last quarter due mainly to an increase in market risk driven by increased volatility in the financial market. Credit risk REA was up DKK 4 billion including an increase of DKK 12 billion related to the implementation of EBA guidelines. We expect the remaining part which amounts to DKK 10 billion to DKK 20 billion to be implemented in the second quarter. Further increases of the same magnitude are expected for the second half of the year. The leverage ratio decreased by 0.1 percentage point to 4.4 according to transitional as well as fully phased in rules. Next slide, please. Finally the outlook for 2021. While we recognize that Q1 was a good start to the year, we confirm our outlook for net profit of between DKK 9 billion and DKK 11 billion for the full year based on unchanged expectations for total income, operating expenses, and loan impairment charges. For total income, this is subject to commercial momentum and broader economic development, whereas our outlook for loan impairments charges is subject to a modest macroeconomic recovery based on the positive impact from the COVID-19 vaccines. Slide 16, please. And back to Claus.
Claus Ingar Jensen: Thank you, Stephan. Those were our initial comments and messages. We are now ready for your questions. Please limit yourself to two questions. If you're listening to the conference call from our website, you're welcome to ask questions by email. A transcript of this conference call will be added to our website and the IR app within the next few days. Operator, we are ready for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jakob Brink from Nordea. Please go ahead.
Jakob Brink: Thank you and good afternoon. My first question is on the deposit re-pricing and the deposit margin impact in the first quarter. You had a slide as well, but also in -- on Page 7 in your fact book, I see the deposit margin support in Personal and Business banking was DKK 74 million. I seem to recall you have said DKK 500 million on an annual basis, so why only DKK 74 million in the first quarter? That was my first question please.
Stephan Engels: Hi Jacob. Thanks for the question. What we've said is that we expected an effect of somewhere between DKK 400 million and DKK 500 million for the full year before or let me phrase it this way, to mitigate the negative effects that we also expected on NII. So, what you can see is specifically in Banking DK, a positive effect from the re-pricing, but you can also see in Banking DK as well as in some of the other segments as well, the continued pressure from lending volumes as well as margins. But we can confirm that we see the expected effect on a gross basis, but again the net basis as we have said is affected by the continued margin pressure and lending volumes.
Jakob Brink: Okay. So, sorry just a follow up on that, but I understand that certainly, lending margin effect as well, but why is the deposit margin which is bail out directly in the effect, why is that lower? Because the level of deposit is unchanged, almost unchanged in the quarter.
Stephan Engels: Year-over-year the deposit margin is hit by the mentioned rate cut in specifically Northern Ireland, so that's a big negative. And quarter-over-quarter the deposit margin on total Group level is still impacted by the elevated level of corporate deposits which we will also start to re-price going forward.
Jakob Brink: Okay, but this is only for personal and business customers it says, but okay. My second question then is on costs, typically you have a fairly high level of costs in the fourth quarter of the year, but now you've started with at least somewhat more than a quarter of your total guidance for the year. So, how should we expect the cost seasonality to look in 2021, please?
Stephan Engels: Now I think in principle you would still expect the Q4 costs probably being slightly elevated, but you also need to keep in mind that some of the FTE reductions will only flow gradually over the year into the P&L line as some of the people will leave the bank only between Q1 and Q3 most likely. So, that's why we keep our -- that's why we are keeping our outlook unchanged. And also the additional customers are coming throughout the year that we expect to have a positive impact and in that sense I think the Q1 is very well in line with our expectations to manage the full year according to plan.
Jakob Brink: Okay. Thank you.
Operator: And the next question comes from a line of Sofie Peterzens from JP Morgan. Please go ahead.
SofiePeterzens: Yes, hi. Here is Sofie from JP Morgan. So, I was just wondering if you could give a little bit more detail on net interest income. On slide 9, you said that the other NII impact was minus DKK 77 million negative quarter-on-quarter. Could you just elaborate a little bit about this, the other NII impact of minus DKK 77 million quarter-on- quarter? And also, yes that would be my first question. My second question is that we had some Bloomberg headlines today around an offer you state in your report that you might do another AML investigation, could you just comment on this, why did you need to do another AML investigation? And also [indiscernible] I guess [indiscernible] weeks ago saying that the potential if it's AML litigation is around DKK 15 billion. So you mean all the pending cases are lost? Could you just kind of confirm if this number is reasonable, and if you also could give an update on where we are especially with the U.S. AML investigation, any credits are re-closed to the end or any increased questions that you have got from the U.S.? Thank you.
Stephan Engels: Thank you, Sofie. Quickly on the other part in the NII quarter-over-quarter, more than half of the DKK 77 million that you see there is interest rate charge on a tax matter that has been solved and that is sitting some years ago, so that we get charged with interest rate on that one. The other bit is amongst the other things, also the latest Tier 2 issuance which we had also in Q1. On the AML Estonia, the very simple clear answer is, there is absolutely no news, and I think that grabs all of the little questions that you also had around some of the, I think not completely factual press reports that we have seen, so absolutely no news.
SofiePeterzens: Okay. Thank you. But just on the NII they kind of reached a percent of the interest charge on that matter, is that a one-off or will that continue to weigh on net interest income or how should we think about that going forward?
Stephan Engels: My answer would be that is something that is unpredictable in the sense of, that you never know how older tax years will finally be settled and what way these things go. Some you win some you lose and in that sense it has a one-off nature, in that I don't expect that to happen every quarter, but that's also something that may happen every now and then. But for trajectory I think you should probably take it out.
Q – SofiePeterzens: Okay. Thank you.
Operator: And the next question comes from the line of Maria Semikhatova from Citibank. Please go ahead.
Maria Semikhatova: Yes, hello. Thank you for the presentation. Two questions from my side also on NII and costs. On NII, you took further actions on deposit pricing in Denmark. I see that you have continuous pressure from deposit margins in LC&I given that those are professional clients, not private individuals. Is there anything you can do with deposit pricing in this division to support the NII outlook? And then on costs, could you disclose how much you expensed on IML and Estonia in the first quarter? I believe in the presentation you only include the quarter-over-quarter difference, do you still expect the DKK 3.1 billion that's your best guess on compliance costs this year?
Carsten Egeriis: Yes, Maria, it's costs I think on the deposit side, so you'll have seen that we updated some of our pricing in Denmark on the deposit side and we've talked about an annualized impact there of about DKK 0.5 billion. Those pricing actions take effect in July this year. We do believe that there is further opportunity on the LC&I side to optimize our deposit pricing and that is for certain one of the things that has our focus.
Stephan Engels: And on the cost side, we don't single compliance cost out anymore because we have finished basically the big Estonia forensic and remediation work and in that sense compliance is more cost now that is part of, called as business as usual. We still stick to our guidance on compliance cost, but that's second line only for between 1.5 to 1.7 is our expectation still for 2023. So that's unchanged and other than that, first line compliance is considered part of first line business and in that sense will not be reported separately.
Carsten Egeriis: I guess that's all of it.
Maria Semikhatova: Understood it. Just may be a quick follow up, you had non-recurring costs of around DKK 300 million, so your cost guidance below DKK 24.5 million. Does it include the one offs in the first quarter and potential further non-recurring charges?
Stephan Engels: Yes.
Maria Semikhatova: Thank you.
Operator: The next question comes from the line of Mads Thinggaard from ABG. Please go ahead.
Mads Thinggaard: Yes, Mads Thinggaard here with two questions, and I think the first one is for the new CEO. Now we have a new captain and the coast is clear, that's quite clear communication. I just wanted to check what it actually means in terms of potential strategic reviews, can we be sure you won't do a strategy review before 2023? Now I just heard Stephan say that the compliant cost plans, they are intact, so I won't ask that. But then, can we be sure the 9% to 10% growth target for 2023 that that will not be adjusted as well? That would be the first question. And the second question is on the uptick you expect in the second half of 2021 regarding EBA technical guidelines. Of course this is not new, and something that has been there for and have been expected for a long time, but could we expect an adjustment of your 3 to 1 target of about 16% at some point as these changes go in and could that come soon, that change? Thank you.
Carsten Egeriis: Thanks Mads. I think on the strategy side, I hope I was clear. I mean, what I'm also wanting to get across with that as I've of course been part of setting the strategy, as part of the executive leadership team, the last four years and been an integral part of the work, and we will continue to execute on the strategy we have. It's critically important for us that we continue to get and continue the commercial momentum that we have, the cost trajectory that we have, as well as continuing to get compliance and control. So those priorities absolutely continue, full focus on that. Our ambition of 9% to 10% 2023 remains. And then if I can just take the REA question as well, you are right, I mean, there's nothing new here in terms of the REA impact from the various different EBA products, so to speak. We will at some point look at revisiting our CET 1 ratio, but we will not do that for now, but you will see us at some point looking at revisiting that.
Mads Thinggaard: Thanks, that's very clear. Thank you.
Operator: Next question comes from the line of Per Grønborg from SEB. Please go ahead.
Per Grønborg: Yes, thank you. I also have two questions. The first one is follow up on Jakob's earlier question on the impact of your deposit margin. If I look at slide nine, the upper right hand corner, Q1 versus Q4, your deposit margin of only DKK 25 million, seems like some DKK 75 million to 100 million is missing. Where have you lost that deposit margin in the first quarter versus the fourth quarter?
Stephan Engels: Yes Per, I don't think you can use the expression when we have lost it because we have been pretty clear at the Q4 call that the guided impact of approximately DKK 0.5 billion for the full year was all else equal, and we continue to see margin pressure. So, we have also made it quite clear in this report that the lower funding value of deposits, especially at C&I is having an impact on our deposit margins. So that is essentially where it goes.
Per Grønborg: So there is also a changed internal pricing going into -- staying by the deposit model is DKK 25 million positive q-over-Q on Slide 9?
Stephan Engels: Yes, that is basically part of our ongoing liquidity management that there are adjustments to the FTP rates according to how the market is developing. Yes.
Per Grønborg: Okay, that of course explains why the numbers doesn't really match up. My second question is more big picture, you've now seen two FSA reviews within the last year, both being quite critical on your loan loss reserves. Any reflections on how you see your communication with the FSA, and the demand from the Danish FSA, which has been somewhat harsh on you the last year?
Carsten Egeriis: Yes, thanks, Per. I thought you might ask that question. Look, I actually feel that we have a good relationship with the Danish FSA, and in fact that the feedback that we got from the first inspection of the two that you mentioned, now some time back, we've made good progress, and the latest inspection, very, very limited findings, very limited financial impact of that. It's really less than a handful of cases where they have a different opinion and approach than we've had in terms of likelihood of bankruptcy in one of those scenarios. And in terms of the degree of explanations or analysis they would like on some of the cases, but when you think about the fact that they've reviewed 23% of our corporate book and found less than a handful of cases, we feel very good. I won't comment in general around the tone of FSA type letters, but I don't see that it is different from us then what is generally the approach that they take. So I feel very good about the relationship and also the improvements, but also the overall impairment position that we have.
Stephan Engels: And just to be on record on that one as well, all of that has been booked already in Q4.
Per Grønborg: Yes of course. I saw that you wrote that in the report. That's of course significantly more close to that and at least I read the FSA comment where my perception of FSA, I do think the FSA wrote and it was a pretty small sample they had looked at it and they had asked you to do a review based on their findings on the full book, but I can't understand that did not result in any mention or additional provisions to be taken.
Stephan Engels: That's correct.
Per Grønborg: Okay, thank you.
Operator: Next question comes from the line of [indiscernible] from [indiscernible] Securities. Please go ahead.
Unidentified Analyst: Good afternoon and thank you for taking my questions. I have two questions as well. The first one is regarding the growth in Norway. Have you done anything in particular, re-priced lending rates or anything to support the strong growth? And the second question is also related to growth in your home markets. Should we expect the trend in Q1 to continue into Q2 and Q3 or do you see room for improvement? Thank you.
Carsten Egeriis: Thanks for that [indiscernible]. I think in Norway, you're right, we have continued to grow both on the personal side and the business side, personal side of course through our partnerships there and on the business side to continue to grow. We've got a good business bank and Medium Corp platform as well as of course also on the larger corporates. So we feel we feel satisfied with the growth that we're seeing in Norway. In Denmark, it's a bit of a mixed picture in general. Lending growth has been pretty subdued on the business side in Denmark, both in the larger segment, but also in the in the Mid Corp segment, and that's largely on the back also of the extensive government support which has somewhat substituted bank lending to state lending in the Mid Corp side. On the larger side, we see large corporates not really utilizing some of the credits that they took out during the first half of last year. So I absolutely think that there is more opportunity for growth. There is more opportunity to do more with our DKK 3.5 million customers across the Nordics, and that's part of our focus when it comes to commercial momentum and also the fact that we've established a commercial leadership team in the first quarter. We meet every other week and we have full focus on that.
Unidentified Analyst: Yes Carsten just to clarify that. It's merely a question of demand in Norway, so you haven't done any major price changes in Q1?
Carsten Egeriis: No, we have not.
Unidentified Analyst: Okay, that's great. Thanks.
Operator: Next question comes from the line of Jacob Kruse from Autonomous. Please go ahead. Jacob, if your line is on mute, can you please un-mute yourself? Okay, let's try the next question from the line of Riccardo Rovere from Mediobanca. Please go ahead.
Riccardo Rovere: Thanks, good afternoon to everybody. Just one question from my side. You've charged roughly DKK 500 million this quarter in credit losses and the guidance is unchanged, which brought a sharp deterioration in the coming quarters. So any reason why the amount of provisions should all of a sudden kind of double for the three quarters from what you can see on the ground at the moment? And then a clarification, in the guidance you provide of maximum 8.5. What is the treatment of the post model adjustments? I assume to kind of recover to use those provisions or is eventually a buffer that you might eventually have?
Carsten Egeriis: Yes, thanks. Thanks Riccardo. I think overall Q1, we see and it's a reflection I think of the diversified portfolio and the good credit quality. We see a limited credit deterioration much in line with what we also saw before the pandemic in terms of run rate if you will. We remain cautious. The macro environment I think continues to be uncertain, and particularly also in light of what will happen once the government support stops and we sort to more normalized levels without the same amount of liquidity support, both from central banks and from governments. So we would like to see a more sustainable trend. I think as Stephan also talked about at the beginning of his presentation before we update on overall credit losses for the year. On the post model adjustment side, we continue to hold those post model adjustments exactly because we would like to wait and see a more sustainable trend. In general, our approach is that when we see actual credit deterioration moving into stage 2 and 3, then we offset that with PMA on an ongoing basis, but clearly we have not seen that yet.
Riccardo Rovere: Okay Carsten. Thank you very much. Then just for me to really understand and not to misunderstand your statement, there is some, if I understand correctly there is some degree of conservatism based on what you've seen so far, and the post-model adjustment, is technically above fair [ph] that maybe one day or you release it, or you have to allocate it to stage 1 and stage 3, so you've technically above it, isn't it?
Carsten Egeriis: Yes, I would like to use slightly different language. We of course take a prudent and cautious approach, because what we're saying is, on the post-model adjustment is, we believe that there will be some increase in bankruptcies, and will be some credit deterioration when liquidity gets starts to pull, whether it's from central banks or government support or whatever it is. And when that happens, and you cannot see that in the models today, we require impairments and allowance account against that and that is what the post-model adjustment is covering.
Riccardo Rovere: Okay, okay, got it. Thank you very much. Thanks.
Carsten Egeriis: Can we have the last question operator please?
Operator: And the last question comes from the line of from Robin Rane from Kepler Cheuvreux. Please go ahead.
Robin Rane: Yes, good afternoon. Thank you for taking the question. So the first question is, how you are seeing as reception among customers in Denmark following the lowering of the deposit threshold at the start of the year and how do you, pardon me, has this different opportunity to channel flows into AUM? And then secondly, on the mortgage lending in Sweden I can see, it looks like you have taken quite a low market share of new lending in the first quarter. So any thoughts around your ambitions in Swedish mortgage markets? Thank you.
Stephan Engels: Yes thanks, Robin, maybe I'll take the first one. On the deposit and the pricing side, as you have seen we've continued to see quite a strong inflow of deposits across all markets, despite the re-pricing earlier in the year. So I think the record to the re-pricing that we have done, we have not seen any significant customer outflow. On the contrary, we've actually seen increase in deposits. We are fully focused and we see that as an important growth driver and growth opportunity to help advise our customers on investments and AUM and we've also seen some positive customer activity on that front.
Carsten Egeriis: Yes, when it comes to your second question around Sweden, we can confirm that our growth strategy and our ambitions are unchanged. We aim for continued growth in utilizing the agreements we have with some of the unions in Sweden. There are fluctuations from quarter-to-quarter, and the development you have seen in the first quarter cannot be seen as a sign that we are relaxing on our ambitions in Sweden.
Robin Rane: All right, well thank you very much.
Carsten Egeriis: Good, I think that was all. I really appreciate all your questions and your interest in Danske Bank and look as always, you're welcome of course to contact Claus in Investor Relations Department if you have more questions, after you've had a time to also look at the financial results in more detail. So thanks very much. I appreciate your time.